Operator: Good day ladies and gentlemen and welcome to the TASER International Third Quarter 2015 Earnings Call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference Mr. Luke Larson, President of TASER International. Sir, you may begin.
Luke Larson: Thank you and good morning to everyone. Welcome to TASER International's third quarter 2015 earnings conference call. Before we get started I'm going to turn it over to Dan Behrendt, our CFO to read the Safe Harbor Statement.
Dan Behrendt: Thank you. Statements made on today’s call will include forward-looking statements including statements regarding our expectations, beliefs, intentions or strategies regarding the future, including statements around projected spending. We intend that such forward-looking statements be subject to the Safe Harbor provided by the Private Securities Litigation Reform Act of 1995. The forward-looking statements information is based on current information and expectations regarding TASER International Incorporated. These estimates and statements speak only as of the date on which they are made, are not guarantees of future performance and involve certain risks, uncertainties and assumptions that are difficult to predict. All forward-looking statements that are made on today's call are subject to risks and uncertainties that could cause our actual results to differ materially. These risks are discussed in our press releases we issued today and in greater detail in our Annual Report on Form 10-K for the year ended December 31, 2014 under the caption Risk Factors. You may find both of these filings as well as our other SEC filings on our website at www.taser.com. With that, I will turn it back over to Luke Larson, President.
Luke Larson: Thank you, Dan. As a reminder, we’re going to be accepting some questions via Twitter today during the Q&A portion of the call. To follow our updates on Twitter during the call follow the account @taser_ir. For those of you without Twitter, all updates and graphics stream directly to our Investor Relations website www.investor.taser.com. Our team is coming of the most exciting IACP events that I have experienced in my seven years at TASER which was a fantastic culmination of a quarter firing on all cylinders of growth oriented execution. Revenues came in over internal expectations and set a new Company record of $50.4 million. We also increased our investments and accelerated spend above our messaging from last year in an intentional and strategic decision to capture market in a limited window of opportunity as the market forms. Based on our leading indicators of marketing pipeline including [cap to] LTV ratio and that we surpassed our internal bookings target for the year, we made a very deliberate decision to continue our investment strategy in order to capture the most market share. We strongly believe these investments will result in a consolidated platform that will create much value for both our customers and the investors. At the beginning of this year we set the FY 2015 booking score at 100 million, it is 10 months into the year and we’ve already surpassed that goal and are expecting our Q4 bookings to exceed the third quarter results. In the third quarter, we not only won the major cities of Denver and Memphis but just last week we learned that we won the City of San Antonio for our largest Axon and Evidence.com deal to-date making our total major city counts 29 cities as of this call. This quarter, we went through an exercise to determine how to best display our total addressable market to investors and our supplemental package and currently being tweeted, we posted an illustration of how we see the expansion of an execution on the platform strategy that we've been talking about for several years and now it’s direct correlation to the size of the opportunity ahead of us. Prior to 2012 this segment was really just the TASER cam and then our very first generation body cam in Evidence.com in its infancy. These ideas were ahead of their time but needed refinement. In 2012, we launched Axon Flex point-of-view camera which is still in the market today and was our first real winner with the compelling product market fit for the body camera space. In 2013, we launched Axon body camera after advance of the market and further expanded our platform into offering professional services. In 2014, we introduced integration services which further expanded our platform of offerings for those customers who wanted their records management integrated with Evidence.com. Finally in 2015 after years of ramping R&D spend, we have introduced a litany of new products including Axon Interview Room, Axon Fleet and in-car camera system and our next generation Body Camera, Axon Body 2 all with unprecedented unlimited HD storage. We realized our platform can be much more than digital evidence and are now positioning the sum of our total offerings as the Axon platform. We further are continuously offering more advanced platform features such as automatic adoption that are compelling regions for agencies to choose the premium service tiers. With our current products and service offerings, we view the domestic market as having a total addressable recurring annual revenue opportunity of $1 billion. For the international opportunity, we looked at our current focused markets where we have directly placed internal resources. No, this does not reflect the entire world, we believe just in those select markets, the opportunity represents 2x of the domestic opportunities or $2 billion annual recurring opportunities. So the next question is obviously where are we in this opportunity cycle? The next graphic you will see is our progress. In the domestic market we believe that there is 1 million potential touch points in the U.S. on our current platform. Approximately 600,000 patrol officers, and another 400,000 patrol vehicles. To-date we have booked approximately over 45,000 licenses on Evidence.com meaning we are at the very beginning stages of this adoption curve. We already the dominant force in the market today with over 45,000 licenses and we are dedicated to consolidating the market on our platform. Our vision with the Axon platform strategy is to get every officer in our target markets having seen on our system and using several of the products in our products portfolio. This is a very customer focused strategy and we are extremely confident in our ability to create great products that create immense value for our customers, investors and society as a whole. This concept of a platform of connected capabilities is by far shining strength today. We’re committed to becoming the preeminent technology providers for law enforcement and are executing accordingly. One of our Directors, Hadi Partovi really crystallized our positioning in a code after the announcement of Axon Fleet. He said with the announcement of Axon Fleet combined with Axon Body 2 in the expanded Axon platform. This provides an insight into the strategic vision held by TASER. We’re witnessing a major shift and exiting transformation of TASER’s business that's on par with the likes of net puts of evolving from shipping DVDs to be in the world's largest streaming video services or that of Amazon becoming a major cloud computing provider. TASER’s metamorphosis to the Axon software platform with multiple hardware extension provides the unified law enforcement customer experience similar to what consumer see today with the Apple or Android ecosystem. This lays the foundation for tremendous growth and it’s the beginning of an incredible story. I would like to reiterate, we’re committed to providing long term shareholder value and look forward to continuing to update you on our progress of this incredible story. This is why we like to share with our investors, five key metrics that we will continuously be sharing and measuring ourselves against for the foreseeable future and you will see today in today's earnings press release that we added a new section to technically share the results of each of these metrics with the public. So here is our five metrics. Number one, Axon and Evidence.com bookings to show the momentum in Axon and Evidence.com contract values. Number two, LTV to cap, we show that our targeted Axon investments are providing long term return on a book seat basis. Number three, ARPU, average revenue per user, to show the market acceptance overtime of higher more value added price [increase] on the Axon platform. Number four, TASER weapons operating percentage to show continued diligence in running our legacy business profitably for investing in new markets internationally. Number five, future of contracted revenue. This is cumulative bookings, less cumulative recognized revenue clearly we are looking at our two businesses with different lenses. We want to measure the growth and well place investments in the Axon segment and we’re focused on long term profitability in the more matured TASER weapon segment. Each of these metrics may have hiccups from time to time as we test new markets, products and strategies but we want to remain transparent with investors about the management - about what management looks as to calibrate the business and measure our success. Rick will now discuss the excitement of IACP and an update on the international markets.
Rick Smith: Thank you, Luke and good morning to everyone on the call. We are coming off really an exciting and incredible IACP conference and I’m the one excited by the success that we had. By all measurable metrics, this is our most successful show to date. We put over 3,000 people mostly Chiefs of Police through our customer experience and introduced the number of disruptive new products and services. All of our products were met with resounding excitement but there were two that I am dealing particularly impactful. Axon Fleet and our new unlimited HD data storage programs which is made possible through our partnership with Microsoft. After just a few days, I’m personally aware of over $30 million in pipeline for our new fleet offering, already generated through just a few major accounts. Axon Fleet is exciting because this is really the first time we disrupted an existing market as oppose to creating new markets. Now TASER is always been an innovator, when we introduce the TASER conducted electrical weapons to the world, we had to educate our customers on why they needed this new capability that they’ve never seen before. We were then the first mover in the on-officer body camera space and again we had to take time to help our customers understand why they needed this new capability. Overtime, we succeeded in building these markets and creating dominant market positions. With that complete we’re now enjoying the benefits of entering the established market, in a sense that we don’t have to convince our customers that this is a need, they get it, they have been buying in-car systems for years and there is significant budgets that are already in place. We’ve just now built a product that’s smaller, smarter and heck a lot of less expensive than what they’re use to which explains the overwhelming response we are seeing so far. In LTVs reviews and talk about customer is similar to have the iPod disrupted the home stereo space. You use to have these big expensive systems with many components wired together, and then this tiny piece of hardware connected to a great software experience gave us all a far better user experience at a fraction of the cost. Suddenly you could put a 1,000 songs in your pocket and you could build its playlist with drag and drop versus the old method of putting CDs and records in and out of your stereo while you made cassettes, music you wanted. While existing in-car systems remind me of these old home stereos that complex and lots of components from cameras to digital video recorder in the trunk of the car and wiring harnesses everywhere. Axon Fleet is a simple piece of hardware connected to the power of the cloud. So for a fraction of the cost and with far simpler installation and replacement. We believe Axon Fleet will give more capabilities and a much better user experience. This analogy clearly resonated with people's personal experience as we introduced this product. Well it's important to showing some more about the traction and impact both with our business and with our customer base that these products have as we move into the coming year. Outside of this being a great product for customers in a compelling edition to our platform, relatively this is a crucial strategic competitive move for us. By introducing an in-car camera at a disruptive price point, we are able to gain traction and deals where the incumbent in-car providers previously had an advantage. I talked to several agencies that we are leaning towards staying with their incumbent in-car video providers for body-worn cameras. These agencies indicated that they were now much more likely to consider our solution now that we could offer a full suite of in-car, body worn and interview room video all on one platform. Strategically, we believe we have the opportunity to rapidly gain market share in the in-car video space. Further, given that many of our competitors that are coming into the body worn space have built their core businesses around this bloated economics of $5,000 in-car video system., we felt we needed to bring our best game to compete in this market at a price point of just 499 or 90% below these older systems. Now as many of you know, I've been spending past six months living abroad, working to build out our international infrastructure. We long discussed that the sales cycle internationally is much longer but that doesn’t mean that we are not trying to see some traction. We are working hard to set up the infrastructure for long term success and met several key milestones over the past quarter. And our domestic business, our relationships with key decision makers and key influencers is key to our success. On the international side, I’ve been focusing on developing the same types of strategic relationships in our target markets. Specifically, in Canada, we’ve launched the Axon Public Safety Canada, a wholly owned subsidiary of TASER International and the company has now active employees to function its TASER’s primary contractors hiring entity in Canada for Axon solution going forward. We have also hired a new Canadian country manager to focus on the Axon segment. In Australia, we hired a country manager to start identifying those specific market needs and setting in place plans to hire sales engineers and other support personnel, working with customers and evaluating digital evidence storage ahead of implementation. We are already starting to see some momentum in Australia. In EMEA or Europe and Middle East and Africa, we’ve hired a new general manager to oversee the entire region with plans to hire country specific managers much like Canada and Australia to own the P&L of those countries over time. And finally in the U.K., as many of you know, we acquired and integrated our former distributor TSR in the third quarter. We’re also opening an office to support that growing team. Now we have some really solid momentum in the U.K. with early wins at the city of London, a national pilot with the British transport police and our 1,000 camera pilot with the London Met. Many investors have inquired about the status of the London Met which has announced a procurement for approximately 22,000 cameras. We too are waiting to hear back about this procurement and at this point we simply just can’t comment further. I’d also like to update you on the metrics that I use personally to gauge how we are doing “steady state earnings” and as I previously discussed, one of the challenges with our sack business is that GAAP revenues are spread out over a very long time horizon making GAAP revenues and earnings very much a lagging indicator. So, as a management team, you really can’t use GAAP revenue and earnings to assess the relative levels of investment and spend especially in the business that’s growing at greater than 100% year over year right now. So, help me calibrate, I conducted thought exercise where I forecast with business will be like in future. Once the business was in the steady state and we just froze last quarter’s results and we repeated them into the indefinite future. Now into this scenario, GAAP revenues would eventually equalize at the same level of bookings. Sure there would be some quarter-to-quarter timing differences but those would cancel out over time. So in this steady state, we would have $36.9 million instead of 10.9 in revenue. If we assume the 65% gross margin on this revenue in scale, the additional $26 million of revenue would generate additional $16.9 million of operating margin. [Indiscernible] take the Axon business - units operating margin from an actual loss of 7.3 million to an operating income of 9.6 million or 26% operating margin. Now first I want to emphasize, this is a purely theoretical exercise but it really helps me mentally calibrate our level of expenditure versus the size of the business that we are building. We know that these assumptions are not going to hold true. We are continuing to ramp up our investments as Luke discussed because we still believe we’re in a very steep part of the growth curve. We also expect to see the booking number climb over time. So this steady state earnings again is a thought exercise is helpful in balancing our investments for the size of the business as it exists in a snapshot today. Perhaps the simpler way to look at this is, you can just evaluate the growth of spending versus growth in bookings. I’m happy to see our bookings growth up 20.6%, that’s sequential growth. Previous quarter 20.6%, outpaced our estimated growth of 15.5%. The next thing I would like to discuss is our philosophy as a management team about creating and growing shareholder value. We understand and acknowledge that value in the business are two different kind of operating units and this could be challenging. And in TASER’s case, we have a highly profitable manufacturing business, with our weapons business and a fast growing digital evidence management or SaaS business in Axon which is not currently profitable but has the potential to deliver significant repeatable profit of scale. This leads to different operating metrics to measure each discrete business and our progress towards success. So for the weapons business, we are focused on operating income as a percentage to sales which is basically a proxy of EPS for that segment of the business. However, when we look at the Axon business where we measure for making the necessary investment in sales marketing software development to capture a dominant share in this market that we believe has the potential total available market around $3 billion globally. The challenge with that is the investments we are making due create a significant drag on short term earnings. Even though the business we're driving towards is highly profitable at scale. So that’s why the metrics that we focus on for the Axon business are around bookings growth and the result increase in sales. Every first rule we add to the system will be highly profitable for TASER over its life. So we want to capture the bulk of the market now as the market swarming. The way we know we are on the right path [indiscernible] investment is our LTV, long term customer value to CAC or customer acquisition ratio. How much we are spending versus how much of these customers work. As long as that ratio is about 3, we feel our investment and sales marketing are working and are being effective. Hence, we do not look at blended operating income across the two business units as the right way for us to maximize shareholder value. We look at operating income in the TASER business and the other metrics which measure the growth in long term value in the Axon business. So at this point, I’m going to hand over to Dan to take you through some of the financial highlights of the quarter. 
Dan Behrendt: Thank you, Rick. So revenues for the third quarter were very strong and above our internal expectations at $50.4 million in the quarter. We expect fourth quarter revenues to come in line with these results due to the strength of third quarter taken projected annually year-over-year growth to approximately 17%. We also expect to see an increase in bookings in the fourth quarter from the third quarter with very strong momentum we’re continuing to see in the market. So revenue recognition asset can be lumpy for several reasons of which we believe investors should be aware. The first is the delay of revenue recognition due to customer request to delay shipping the product in order for their team to have time to get the appropriate policies, training, and roll outs in place. We have had several large customers dictate staggering shipments of the camera for this purpose which can delay the revenue recognition in total. The second is the delay due to the implementation and integration services. Some customer purchase integration services with RMS, Record Management Solution or CAD system through our professional services team. Delays can happen for many reasons during these process and we believe that we waiting for the customer to accept the work is the appropriate time to start revenue recognition. Finally, there is a concept of contingent hardware for highly discounted camera purchases where the customer gets initial camera for free or at highly discounted price. The cases where the hardware is highly discounted we still allocated post of the total contract initial camera purchase based on the sales value the camera versus the other products service in store purchased. We spread that allocated revenue over the life of the camera which causes little revenue be recognize its selling but more camera revenue be recognize each subsequent month versus traditional sales where the camera revenues recognize at once at the time of selling. Although life of the contract, the revenue recognize is identical to similar size deal where the customer pays full price for the initial camera, the only difference is the timing when revenue takes place for the initial camera. So gross margins for the third quarter came in at 61.7% which is compared to 64.7% the prior year and 65.8% in the second quarter. The decrease was driven by a mix shift to the lower margin video signal hardware, an increase in contingent hardware deals and an increase in discounting through programs such as the standard issue grant program. As mentioned above, in contingent hardware deals, revenue of the camera dock is recognized over the life of the contract, which might be as long as five years, while the cost of the camera is recognized upfront. As a result, we may see some continued fluctuations in gross margins as the product mix changes, a proportion of the contingent revenue deals recognize [various]. However, having a more significant portion of our sales to be the Axon camera is a positive leading indicator of an increasing install base seats on Evidence.com which will lead to a growing software portion of the business creating predictable, high margin, recurring revenue stream for TASER in the long run. We anticipate gross margins on a consolidated basis to range from 60% to 64% in the near term. As Luke, mentioned earlier, we want to share with you the key metrics we are using as a Management team and our Board are also reviewing constantly with us. These include, lifetime value of the customer compared to the customer acquisition cost ratio, which keeps us focused on the return on our sales and marketing investments in the business. In the third quarter of 2015, our lifetime value for customer to acquisition cost ratio was 4.7. So as a reminder, conventional wisdom indicates that anything greater than three means that investments are well placed. While we're investing in additional sales and marketing cost, we're also introducing incremental revenue producing products to increase the lifetime value of each individual customer. In the third quarter, we saw a new seats book at an average of $3,500 per seat. As Axon Fleet [indiscernible] and other products gained traction and along with unlimited HD plans ramp up, we expect the average booking per seat to continue to trend higher over time. We're also very keyed into our active paid user base. These are the seats that are past the integration of customer housing points, and are included in our revenue recognition figure. In the third quarter, our active paid user base increased to approximately 33,000 seats. While we're still happy with the increase here, as I discussed earlier, some of the items that delay revenue recognition also delayed the timing of when seats go out of system. Total booked seats for the third quarter by comparison was approximately 9,300 and on a cumulative basis we've booked over 45,000 seats. That means that we have about 12,000 seats under contract which will eventually be in our monthly service and stores revenue, but are not currently in that statistic at the end of September. Our average revenue per user ARPU was 27.59 in the third quarter, which is sequentially down. It's important for investors to recognize there is some noise in this figure due to catch ups of revenues based on milestones for customers that incurred during the quarter. The second quarter had a larger catch up in the historic run rate which normalizes itself in this quarter. We believe that the trend from approximately $26 per month earlier this year to $27.59 in the third quarter is still favorable. And we expect this trend to continue upwards over time as we're signing more and more customers into our higher tiers of service. In the third quarter, approximately 70% of customer signed up for either the ultimate, unlimited, or officer safety plan license tiers which is priced at $55 per officer, per month and above. Clearly, all the metrics just discussed are solely focused on the Axon segment. We want to make sure that we're placing our investments in all areas of the high quantum return as we continue to believe they're paying off. Regards to the weapons business, we remain focused on profitable growth. And as a result, income from operations and weapon specific earnings per share are the target metrics for the segment. To get to weapons segment EPS, we're simply taking the operating income for the weapon segment, plus or minus interest and other expenses, lessen allocated provision for income taxes based on our consolidated year-to-date tax rate. Based on this calculation, we had weapons earnings per share of $0.14 per diluted share in the third quarter of 2015, and $0.44 per diluted share year-to-date. This compares to $0.19 and $0.42 of diluted EPS for the same periods in the prior year. As we grow the international portion of the business, there'll be some near term drag on the metrics, but we believe the long term ROI is evident given large potential addressable market in our top tier countries alone. There are other ancillary metrics we're including in our statistics, that's what our website for investor reference such as seats booked, future billings, future contracted revenue, average book contracts earned, [indiscernible] attachment rate. However, we believe that the above metrics are the ones that are most critical drivers in business over time and we're consistently sharing these with investors with commentary on each call. We're ultimately looking to create a long term value for both our customers and our shareholders and want to be consistent in sharing our progress with investors. Sales, general, administrative expenses for the third quarter were $17.8 million, an increase of $5.4 million compared to the prior year. We've recognized this is up 4.7% higher than the amounts we referenced in last quarters call. But as we messaged over the past year, this market is moving fast. At third quarter, this momentum peaked at all time high going in the IACP. We knew that incremental investments are necessary to continue to capitalize in this opportunity and capture market share. We spent incremental dollars on Axon [indiscernible], we also hired another 19 sales and marketing employees in the quarter as we're shrinking our sales regions to be able to be in front of the ever expanding ground with interested customers. We want to be in front of every deal that is in the marketplace. IACP made it clear that the competition in national space is multiplying quickly. We have a very large first floor advantage, we need to capitalize on it now in order to avoid market fragmentation. Given the sales leadership is not adjusting in the target bookings or sales on a per rep basis as we increase the number of reps and reduce the size of each territory. We're confident that each rep that we add, well that should be accretive to both sales and earnings. As we look at Q4, we're further increasing our spending guidance to an incremental $2.1 million and SG&A compared to the third quarter. We're exhibiting at the MILIPOL conference in Paris, which is the international equivalent of IACP to continue our momentum stemming from our latest product announcements in the international market. We also anticipate higher consulting spend to fill some long term gaps in our organization and search for the best hires. Research and development expenses in the third quarter were $6.4 million, an increase to $2.8 million compared to the prior year. Due to the additional test tools and materials related Axon Body 2, and associated consulting, we anticipate that our research and development –several hundred thousand dollars higher in the fourth quarter of 2015, compared to the third quarter amount. We believe that it was imperative to have a fully function models of Body 2 at IACP show, going into last weekend, which proved to be a phenomenal decision as we learned that many of our competitors did not make the same choice, and as a result had to talk in generalities about their technology, giving our customers the opportunity to interact and observe live demonstrations of these new products. It's just one of the many examples of how our team executed to ensure our presence in IACP was tremendous. Income tax for the quarter was $5.2 million, which is -- obviously abnormally high for the Company. The effective tax rate for 2015, increased to 47.7% due to changes in expectations for the profitability of the new TASER International BV subsidiary located in Netherlands. Because of the manufacturing delays, startup cost and increased expenses to grow the international business undertaken in 2015, the Company no longer expects the TASER International BV to be profitable in 2015, as a result the Company's effective tax rate has increased to 47.7% for 2015. The Company does expect the effective tax rate to come down to more traditional 36% to 40% range in 2016, and see additional effective tax rate coming down as the international business increases and the international income resulting from that also increases. Operating cash flow in the third quarter of 2015, was $19.3 million, an increase of $2.7 million compared to the third quarter of 2014. The increase was primarily driven by the increase in deferred revenue balances of $7.5 million, and decrease of inventory of $5.2 million during the quarter. Finally, as we look into 2016, we want to make it crystal clear to the market that we're going to continue to invest to win the market. Every customer that we get on our platform strategy is significantly more valuable over their lifetime than the cost to acquire them. In addition, we expect the return of our customer base to be relatively low, making it very important to win the majority of new deals, or risk losing a customer to competitor for five or more years. We're now going to move into the question-and-answer portion of the call, but I would like to remind investors, we've added supplementary results package on our investor website, www.investor.taser.com, to review the drivers of the third quarter results and provide a dashboard of our statistical metrics. We're going to take two questions in each person in the queue in the first round of questions, and ensure everyone has a chance. Should you have additional questions, please get back into the queue. And with that, we'll turn it back over to the moderator to start the Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of George Godfrey with CL King. Your line is open.
George Godfrey: Thank you, and thank you for taking the questions. I just want to dig in on the ARPU change sequentially a little bit. Am I understanding this right that exiting Q2 the ARPU was about $29, but as you move through the Q3, the ARPU for those existing seats that you had from Q2 and Q1 there, actual revenue sale, and that's how we get to the 27.6?
Dan Behrendt: Yes, George, that's a good question. It's really more of a reflection of the adjustments that we make each quarter. Basically the ARPU calculation, we've been taking just the total revenue for service and sales in the last month of the quarter divided by the number of paid seats. So there's little bit of noise on that number[at the end of] [ph] each month of the quarter, and in the second quarter, there's little bit more of that some of that noise which alter that number a little bit more in the Q2 versus Q3. I think we're confident that the ARPU is going to continue to go up over time and especially with the new seats signed in Q3, most of those -- about 70% are higher priced tiers that are above that 27.59 rate. So, we do expect that that number will continue to increase.
George Godfrey: Okay. Thank you. And then my follow up is, international operation, do you expect those to be profitable next year?
Dan Behrendt: Yes, I mean, right now we're making significant investments. I think that as that business becomes closer to breakeven and profitable, that will get our effective tax rate back down into that more normalized rate, and then over time as the percentage of our profits that get driven from the international part of the business increase, then we'll see that effective tax rate continue to drop below the sort of normal U.S. rates into lower effective tax rate over time, but a lot of that is going to be driven by the percentage of profits that are being generated from that international operations.
George Godfrey: Great, thank you very much.
Operator: Our next question comes from the line of Andrea James with Dougherty and Company. Your line is open.
Andrea James: Thanks so much for taking my questions. This is a question on future portion of sales that you anticipate will come from outside North America. I know you gave us a long term TAM, I'm just thinking about how do we think about it in next year and next five years kind of in a shorter time frame.
Rick Smith: Yes, this is Rick, I think -- traditionally we've been seeing international sales coming in maybe around 20% of the revenues of the business. I think our long term goal would be to see that climb north of 50%, but that's going to take some time. In terms of what's going to happen in next year, the challenges that we’ve got are just that these international customers tend to buy in big lumpy orders. So, it makes it really hard for us to know for sure or predict with a great degree of precision when those are going to come in. So, I don't know that we have a great answer that the next is going to be significantly better than the 20% it’s been historically. But I think we're doing the right things at this point, but putting more resources in these markets, I think one thing we've realized is we're not going to be able to grow the business to the point that it needs to be by just relying on international distributors and not having a direct Company presence in key markets around the world.
Andrea James: Okay. And then another quick question. How sticky do you envision your Evidence.com customers to be? Do you think it's going to be easy or more difficult for competitors to come in and kind of bid that away from you once you’ve won a market? Thank you.
Luke Larson: This is Luke. I think our solution is very sticky. We've focused on the work flow from capture to court room. So, all along are kind of value proposition that customers are using our system to add metadata, share cases; we just released, a really, really exciting announcement with our Prosecutor Platform [5.25] [ph] that allows them to securely share digital evidence along out to their prosecutors as well with adjacent agencies. So, we feel really confident in our customers seeing the value in the usage that we're seeing today.
Andrea James: Thank you.
Rick Smith: Yes, I would just add that, I think our real differentiator is that we have really focused on a great user experience and I can tell you, I was speaking in front of group of -- in this case the state patrol, the people that run the highway patrols, one of the comments in their executive committee, one of the colonels spoke up to me and said, it's just terrible that the user experience that we have it worked when we go and we deal with our systems it work, it's nothing like the systems that we have in our consumer lines, where we just have these wonderful user experiences. And I think that's something we've heard consistently which you typically will not hear that from our users. We've really spent a lot of effort from the time we acquired Familiar, the mobile company in Seattle about two years ago. We've really sort of taken a different approach that we're winning a lot of market share by winning the hearts and minds of the end-user through a great user experience. And we think that that is what will make us really sticky long term that we're integrating into their business flows in a way that makes our job easier and this is a market that does not change the business processes very readily. So, as long as we're giving them a great user experience, we think there's going to be a very high bar for someone to try and displace us.
Andrea James: Got it. Thank you.
Operator: Our next question comes from the line of Steve Dyer with Craig Hallum. Your line is open.
Steve Dyer: Thanks, good morning. Dan, I don't know if I am a little slow here, but I still am not necessarily understanding given all of the bigger sort of unlimited data plans that you guys have announced off late, and maybe there's a lot of them in the queue in that extra 12.5, but I guess I'm not seeing why your incremental ARPU would be down so much this quarter. Can you elaborate a little bit more on the catch ups or noise et cetera that you talked about?
Dan Behrendt: Yes, I mean, in addition to the catch ups, I think the issue is I think a lot of these larger customers that are buying our high service tiers with unlimited storage, those are typically customers that are more likely to have delays from the time we sort of announce the booking to the time we start recognizing the revenue. They typically take advantage of the implementation and integration services that take time, there's usually more from a policy perspective they need to work through. So, I think the best way to look at it is, I think the ARPU of sort of the 12,000 seats still to be recognized is better than the 27.50 or so that we announced for this quarter, and that will drive that ARPU up over time, because the customers that are sort of easier lift that maybe are not doing implementation integration are the ones that are going to kind of go through quickly. So, I think the ARPU of the sort of still to be recognized customers is better and that's why we think the ARPUs continue to trend up over time.
Steve Dyer: And I think you added like 5,000 or so if my memory is correct, users onto the network this quarter. I mean why would their ARPUs be incrementally worse than the 28 that you had on previously?
Dan Behrendt: Yes, I mean I think there's just going to be mix differences over time. I think it's depending on the level that people -- obviously our service offering started at $15 a month plus store. So we do have some customers who are going to be at the lower end of the range. So, there's definitely going to be some mix differences and this quarter the new customers added were a little worse than the $29. But the customers that we've already booked, that are still to be added are better and that's why -- this will kind of normalize over time and it's definitely, there's a little bit of lumpiness there but we do expect a long term trend to continue to go up.
Steve Dyer: Okay. And then my follow up, the 70% of bookings in the quarter that took the $55 and up packages, just for context do you have what that number was in Q2 or even year-over-year?
Dan Behrendt: I don't. I could tell you that it continues to trend positively for us as more and more customers, especially the unlimited storage plans and with the introduction of Body 2 and that's an HD camera, having sort of unlimited storage built in and becoming a predictable cost for agencies, I think is going to be very popular and we're seeing that in sort of the bookings already, and I think we'll continue to see those trends going forward because of -- I think it's really compelling for customers to have that unlimited storage especially with HD video.
Steve Dyer: Okay. Thanks.
Operator: Our next question comes from the line of Paul Coster with JPMorgan. Your line is open.
Mark Strouse: Yes, good morning. This is Mark Strouse on for Paul. Thanks for taking our questions. So, Dan, last quarter you mentioned that the -- you guys had seen a bit of a lengthening of the sales cycles as some new competitors had come out with solutions. But you kind of reiterated that you're still seeing success in the contracts that you won but just that the sales cycle was lengthening, I'm just kind of curious especially with some new competitors coming out at the conference last week. What's the latest thought on that sale cycle is? Thanks.
Dan Behrendt: Yes, I mean I think it's -- I don't think it's changed that dramatically. Obviously there's lots of new hardware vendors coming in the market. The barrier to get into the sort of camera business isn't that great. But from the beginning, we've looked to differentiate ourselves with the SaaS solution, and we think ultimately that's where customers once they really sort of understand that cameras are going to -- they're going to find new cameras every two and half or three years, so they can't, they're making a long term decision on work flows and other things that are not -- the cameras, it's not that's unimportant but that's not the most important piece of it, and I think that as we get more entrants in the market, I think there is -- certainly the sales cycle, customers will continue to try out vendors besides us, and we actually encourage that because I think that's where we really shine. There's a lot of competitors out there that are promising the world and I think once the customers really understand kind of what they're buying, what the competitor versus us, I think we win the vast majority of those deals and so we feel good about our market position. I don't know if you to add anything to that Luke.
Luke Larson: Yes, I think the key announcement that we made at this year’s IACP with Axon Fleet and our Microsoft partnership really positioned us as an innovator and the market leader. With our customer relationships, this is really a customer intimacy story, and when we’re in deals our customers really value the TASER brand, the professional sales force that we have both with kind of the consultation on what’s the ROI the agency is going to see with our solution to eliminate [indiscernible] disks, as well as the post sales service support we offer. And then really the point that Rick mentioned on, we create a great user experience. We’ve got a very, very long reach into our customer base that we pull back into our product development and so we feel confidently if we get –in a face off with a competitor the majority of the time, a high, high percentage of the time we’re going to win those deals based on those factors.
Mark Strouse: Got it, okay, thanks. And then Dan you touched on this in your prepared remarks about 2016 OpEx. Are you prepared to quantify that at all yet? Maybe a different way of asking it is, I mean you’re seeing the kind of consensus number that are out there can you talk maybe directionally if we’re in the right ballpark or need to go up or down.
A – Dan Behrendt: Yes, I think, probably not right - prepared to talk specifically to 2016 other than the fact that we do expect that the OpEx to continue to turn upwards in 2016 as we invest in both sales and marketing resources to capture the business as well as development resources to add to our platform and keep our competitive advantage. So we definitely expect that the OpEx will continue to turn upwards over time.
A – Luke Larson: Yes, I’d want to just reiterate, we really like to focus our management team, our Board has alignment around this and investors, how we’re measuring the two businesses really on those five metrics that we called out earlier.
Mark Strouse: Got it, got it. Okay, makes sense. Thank you very much.
Operator: Our next question comes from the line of Andrew Uerkwitz with Oppenheimer. Your line is open. 
Andrew Uerkwitz: Thanks, gentlemen, for taking my call. I just wanted to better understand the revenue recognition that's going on here. I think you said, you had about 12,000 seats that have yet to be recognized. Could you give us some color on when you think those could be recognized and when those will originally – just give us an idea of the timeline here to understand some of these bigger contracts better? Thanks.
Dan Behrendt: Andrew, this is Dan. That’s a good question. I think there is some variability with that. I would say that typically we’ve recognized the camera is selling, but then there is a delay around the recognition of the service and storage revenue based on implementation services, milestones with customers and other things and that could certainly delay it by a quarter or even as many as two quarters just based on sort of the variables in a given deal. I think that this quarter we saw it probably more pronounced than we’ve seen it where we have really significantly less new users added into the system versus what we booked. Typically it’s been more of a sort of the users you book in one quarter you recognize the next quarter and there is just sort of a continues sort of snow plow pushing things out a quarter on the revenue recognition on the service side. This quarter we saw that a little bit more pronounced, it’s mostly due to some bigger deals in the system, that’s a little bit more complex but we do feel that within a quarter or two those seats will certainly be in the system and part of the recognized revenue.
Andrew Uerkwitz: That’s helpful. How does that affect the contracts, so is my understanding, you may have shipped some cameras but you may not be booking the Evidence.com. Does a five year contract start when the camera gets shipped or does is start when the Evidence.com get shipped, how do we think about that timing?
Dan Behrendt: Typically for most deals we’ll recognize - there will be sort of a catch up once the customer is up and running on the system. And lot of that depends in where the delay is, if the delay is the customer saying, hey, we’re not quite ready, they make a 10 months of service the first year and then 12 months after that. Most of these customers it’s sort of –to their advantage to get the clock started because that means they’re going to get their - lot of these, especially if they are customer around TASER Assurance Plan deals, where they have sort of prepaying for their next camera, they’re going to want that clock to start and will get the camera sooner. So there is a fair amount of moving pieces there, it does sort of depend deal to deal.
Andrew Uerkwitz: Perfect. And this is my last question, and I will jump offline. If there are delays like this, is there any risk that a city misses a budget cycle?
Dan Behrendt : Can you repeat that question, I’m not sure I heard it clearly.
Andrew Uerkwitz: If some of these major large cities, large deals are having slower implementation issues or having issues that are slowing implementation, is there any chance that they miss a budget cycle and not able to place a second or third order to fulfill their obligations?
Dan Behrendt : Yes, we don’t expect that to really be an issue because most of these deals when a customer is committing to a multi-year deal, they’re thinking about future budget sources and stuff like that. So usually we don’t expect that to be a real issue.
Andrew Uerkwitz: Great, thank you. I really appreciate the color. Thanks guys.
Operator: Our next question comes from the line of Glenn Mattson with Ladenburg. Your line is open.
Glenn Mattson: Yes, I think the topic of the adoption rate on the services may have been picked over enough although it’s not I think 100% clear yet but maybe moving onto weapons for a minute, can you say, did you pull any revenue forward from Q4 into weapons because I think you’re expecting something a little down sequentially and it turned out up? And gross margins were a little weaker in that segment, can you talk to that also please?
Dan Behrendt: Yes, we had - so on the sales, we had a real significant weapon sales basically last couple of days of the quarter which easily could have been fourth quarter deal, where our sales people were effective in getting that in the third quarter, so that’s why we’re thinking sort of fourth quarter will be more flat although we had record - this is - the thing we want to just sort of remind ourselves and investors this quarter is the highest quarter sales in the company’s history. So repeating on the fourth quarter is still and putting up sort of 17% year-over-year growth on an annual basis, we still feel good about that trend. On the gross margin, I think it’s really driven mostly by some of the new programs we have like the standard issue grant program, some of the other programs, I think the good news is it’s driving the business which is great. There is some discounting that goes with that which will have a little bit of an impact on margin in the quarter.
Glenn Mattson: Okay. That does it for me. Thanks.
Operator: Our next question comes from the line of Allen Klee with Sidoti. Your line is open.
Allen Klee: Yes, hi. Just following up on weapons, also how do you think about just normally seasonality of fourth quarter and budget flushes, how that would normally play out?
Dan Behrendt: Yes, that’s a good question, this is Dan. I mean typically we do see some budget flush in the fourth quarter which is - can be a net positive, I think, I guess there is sort of two pieces of color, the third quarter of 2014 still set the record for the highest quarter in CEW sales in Company’s history, so we sort of grew pretty close to matching that this quarter which we feel good about. So I think it’s - as we look at the fourth quarter, we think that sort of repeat, we think it’s a reasonable target. We had some large CEW deals in this quarter which certainly helped and I think those are - that creates sort of a top sort of sequential comp to go against. So we need some of that budget flush to make up for some of these big deals that we saw in the quarter. So I think we feel good about the 17% year-over-year growth on a total year basis and I think some of that puts and takes of big deals versus budget flush are kind of baked into that expectation.
Allen Klee: Okay, thank you.
Operator: Thank you. And we have a follow-up from the line of Steve Dyer with Craig Hallum. Your line is open.
Steve Dyer: Thanks. Sticking with weapons, your overall unit sales were down quite a bit more than CEW revenue and I don’t think ASP normally changes all that much. Is there something else in there ex-rep revenue or some other things that that maybe drove revenue to be better than the unit results?
Dan Behrendt: No, I think probably the biggest part is just sort of the amount of direct sales continues to increase both with more direct business in the U.S. as we continue to take more states direct which increases our ASP, as well as some of the international business is now direct which also helps because we are seeing sort of the end user price come through ASP versus the distributor price.
Steven Dyer: Okay. So it is pretty much entirely explained by ASP?
Dan Behrendt: That’s correct. 
Steven Dyer: Okay. And then you mentioned the incremental 12,500-ish users loaded in the queue and said you expect ARPU to be higher. Is there any way you could quantify at all how much higher et cetera, I mean 70% taken that $55 and up package would imply. It’s quite high barring discounting but are you prepared to give any more color on that?
Dan Behrendt: The $55 is really from – probably just clarify that, the $55 includes sort of camera upgrades. It is really probably more of a $40 ARPU as comparison because the 15 of that is future camera upgrades. But I guess I’m not prepared to quantify that specifically other than the fact that we think this trend towards the higher price service tier should help with the overall ARPU number over time.
Steven Dyer: Okay, thanks. 
Operator: Thank you. I’m showing no further questions at this time. I’d like to turn the call back over to Mr. Larson for closing remarks. 
Luke Larson: Thank you everyone for the time. I’d like reiterate that we are committed to providing a long term shareholder value. We strongly believe in our Axon platform strategy and we look forward to continuing to update you on our incredible progress in this story. Thank you.